Operator: Thank you for standing by, ladies and gentlemen and welcome to the Costamare Incorporated Conference Call on the Second Quarter 2019 Financial Results. We have with us Mr. Gregory Zikos, Chief Financial Officer of the company. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that this conference is being recorded today, Thursday, July 25, 2019. We would like to remind you that this conference call contains forward-looking statements. Please take a moment to read slide two of the presentation, which contains the forward-looking statements. And I would now pass the floor to your speaker today, Mr. Zikos. Please go ahead, sir.
Gregory Zikos: Thank you, and good morning, ladies and gentlemen. During the second quarter of the year, the company delivered profitable results. Net income and earnings per share more than doubled compared to the same period of last year. Charter rates for the larger containerships continue to improve boosted by service upgrades and a reduction in supply due to scrubber fittings. We have chartered in total 18 vessels over the last months benefiting from a rising market in the larger asset classes. On the financing side we arranged financing agreements for aggregate amounts of $460 million proactively extending maturities relating to 10 vessels and relating 100% financing for the scrubber installation on five ships. And now moving to the slide presentation. On slide three you can see the highlights. The adjusted EPS is $0.23. Over the past quarter, we have signed new financings for total amount of $460 million proactively refinancing and extending values maturities and financing 100% of scrubbers to be installed on five vessels. We do maintain a strong balance sheet with approximately 46% leverage and we have no off-balance sheet financing. Over the last months, we have chartered in total 18 vessels. Regarding the market, charter rates for larger vessels have continued to have upward momentum. The added fleet has dropped to 1.6% and the fleet net growth in the 2019 is estimated at around 3%. On slide four and five you can see a summary of our recent chartering activity. What’s worth mentioning on slide four is the increase in the charter rates for the larger vessels compared to last one. Over the next year 16 Post-Panamax containerships scheduled for rig chartering, which provides us with significant upside should the momentum continue. On slide five, you can see the forward fixing of the five 8,800 TEU containerships, which has increased our contracted revenues by about $185 million. Moving on to slide six, you can see the new financings for the development of $460 million. All the financings have been concluded with the exception of the one involving the vessels Valor and Valiant, which is expected to be concluded within this month. Original maturities have been extended by an average of four years. We do not have any substantial launch maturing over the next two years. On slide seven, you can see our payments as well as the sale of one vessel, which was co-owned with York Capital. On slide eight, we show our second quarter 2019 results. During the second quarter of this year the company generated revenues of $117 million and adjusted net income of $26.2 million. The second quarter adjusted EPS amounts to $0.23. Our adjusted figures taken into consideration the following non-cash items, the accrued charter revenues accounting gains or losses for mark-up disposals prepaid with [indiscernible] and non-cash charges. On slide nine, we are showing the revenue contribution from our fleet. Almost 100% of our provided cash come from first class charters like Maersk, MSC, Evergreen, Cosco, [indiscernible] and Hapag Lloyd. Today we have $2.4 billion in contracted revenues and the remaining time charter duration of about 3.9 years. On the last night we are discussing the market, regarding charter rates there has been a further strengthening in the market during Q2. The added fleet has fallen to a low level of 1.6%. The order book has been steadily decreasing to 11%. As already mentioned, we are actively looking for more actions in this market environment. This concludes our presentation and we can now take questions. Thank you. Operator we can take questions now.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Chris Wetherbee with Citi. Please go ahead.
James Monigan: Hi, guys. James on for Chris. Just wanted to ask a question about pence per deck. It seems to move down sequential and it was a bit lower than we were looking for. Just wanted to know, what might have been driving that. And if there's any special items we should be considering in there.
Gregory Zikos: Sorry, I could not hear very little your question you mind repeating.
James Monigan: Yes. Can you hear this?
Gregory Zikos: Yes, this is much better. Yes.
James Monigan: Wanted to ask question about vessel OpEx per day, excluding D&A, was down sequentially and a bit lower than we were expecting. Just want to note are there any special items we should be considering in it? And also, sort of get your outlook for moving forward?
Gregory Zikos: You’re right. Yes, daily operating expenses and these are pure operating expenses, excluding D&A. In this quarter, it was close to $5,100 per day per vessel, this is by taking all the operating expenses and dividing by the ownership days, which is slightly lower compared to the last quarter or the quarter before. There are no specific items that sort of can be highlighted to say this is the main reason. I would say that, I mean, -- I would say that generally, we're trying to be conservative and also efficient in running the vessels. So there is nothing specific to highlights on that. But I mean, I would agree that $5,100 per day for at least, which is, on average of a size of above 700 TEUs. I consider this to be quite competitive.
James Monigan: Got it. Also wanted to get an update on the interest that you're receiving in doing more scrubber deals and whether it's picking up or if it's essentially plateaued since the last quarter?
Gregory Zikos: I think since the last quarter, I think we have not received any new requests, at now it's a total of 16 verses including five newbuildings, where scrubbers will be installed. These are the five newbuildings that we contracted last year with Yang Ming and five MSC vessels and five ships with Evergreen. All these are larger vessels with long-term time charter coverage. Apart of those instances, which we have already announced, we have not been receiving any new requests.
James Monigan: Got it, thank you.
Gregory Zikos: Thank you.
Operator: [Operator Instructions] The next question comes from Ben Nolan with Stifel. Please go ahead.
Frank Galanti: Yes, hi. This is Frank Galanti on for Ben. I wanted to ask about any potential demand or competition for newbuildings. Newbuilding contracts from liners, if you're seeing any additional demand for that?
Gregory Zikos: Look, there have been in the market some rumors about newbuilding projects from liners. I cannot comment more on that it’s just what you also see in the market. But I mean -- but I have to say that compared to the competition that we faced years ago, either for newbuilding project and also for secondhand ships in the water other sale and leaseback structures. Today the competition is definitely much less. There are less sure shipowners, providers like ourselves who do have access to debt or to equity and who can fund this CapEx type of -- CapEx intensive type of assets. So there's definitely less competition compared to years ago. I cannot be any more specific on sort of rumors we’ve heard regarding newbuilding projects.
Frank Galanti: Okay. That makes sense. And then just kind of a maybe quicker question, but it looks like accrued charter revenue moved from negative to positive this quarter. Is that what expectation going forward?
Gregory Zikos: Yes, I mean, we have a specific schedule for the accrued charter revenues, which is a U.S. GAAP requirement. So if you have extension in the charter rates with the same charter, or like a charter rate that sort of goes up and down during the whole charter period, we have to get an average and it's either positive or negative, depending on the time when we are accounting for that revenue. Now it has turned positive. If you want because we do have a schedule for the contracted revenues up to today we can share it with you offline so that you can see how this is expected to be over the next quarters.
Frank Galanti: Yes, that would be helpful. That's all I had. Thanks very much.
Gregory Zikos: Sure, thank you.
Operator: [Operator Instructions] Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Gregory Zikos for any closing remarks.
Gregory Zikos : Thank you for dialing in today. We are looking forward to speaking with you again during the next quarterly results call. Thank you.
Operator: And thank you. That does conclude our conference for today. Thank you all for participating. You may now disconnect your lines.